Operator: Greetings, and welcome to the Cohu, Inc. Second Quarter 2012 Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. James A. Donahue, Chairman, President and Chief Executive Officer of Cohu. Thank you. Mr. Donahue, you may begin. 
James Donahue: Good afternoon, and thank you for joining us on today's call. With me today is Jeff Jones, our Chief Financial Officer. If you need a copy of our earnings release, you may obtain one from our website, cohu.com or by contacting Cohu Investor Relations at 858-848-8106. 
 I'll provide an overview and comments on Cohu's results for the second quarter of 2012. Jeff will take us through the financial statements, and I'll conclude with comments on the current business environment and then we'll take your questions. 
 But before we go on, Jeff has information concerning forward-looking statements, estimates and other matters that we will discuss during today's call. 
Jeffrey Jones: The company's discussion this afternoon will include forward-looking statements reflecting management's current expectations concerning certain aspects of the company's future business. These statements are based on current information that we have assessed of which by its nature, is subject to rapid and even abrupt changes. Forward-looking statements include our comments regarding the company's expectation regarding industry conditions, future operations, financial results, any comments we make about the company's future in response to your questions. Our comments speak only as of today, July 25, 2012, and the company assumes no obligation to update these comments. 
 Certain matters discussed on this conference call including statements concerning Cohu's new products and expectations of business conditions, orders, sales and operating results are forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially from those projected or forecasted.
 Such risks and uncertainties include, but are not limited to, inventory, goodwill and other intangible asset write-downs, our ability to convert new products under development into production on a timely basis; support product development and meet customer delivery and acceptance requirements for next-generation equipment; our reliance on third-party contract manufacturers; failure to obtain customer acceptance resulting in the inability to recognize revenue and accounts receivable collection problems; customer orders may be canceled or delayed; the concentration of our revenues from a limited number of customers; intense competition in the semiconductor test handler industry; our reliance on patents and intellectual property; compliance with U.S. export regulations; and the cyclical and unpredictable nature of capital expenditures by semiconductor manufacturers.
 These and other risks and uncertainties are discussed more fully in Cohu's filings with the Securities and Exchange Commission, including the most recently filed Form 10-K and Form 10-Q. Cohu assumes no obligation to update the information in this release.
 Further, our comments and responses to any questions will not make reference to any specific customers as we are precluded from disclosing such information by our nondisclosure agreements. 
James Donahue: Okay. Thank you, Jeff. Sales for the second quarter were $59.4 million at the high end of our guidance. Non-GAAP loss per share was $0.01, compared to a loss of $0.06 per share for the first quarter. Cash and investments were $106.6 million, and Cohu's balance sheet remains free of bank debt. 
 Orders increased to $69.8 million compared to $53 million in the first quarter. Semiconductor equipment orders increased 44% sequentially to $59.5 million and were at the highest level since the second quarter of 2011. Backlog was $62 million at the end of the second quarter. 
 The semiconductor group unit order distribution for the second quarter was high-speed handlers, 53%, and thermal handlers, 47%. Equipment utilization on customer test floors has been relatively stable at near 80%, still below levels that generally trigger broad-based capacity orders. The Q2 order increase was primarily driven by stronger demand for mobile and automotive ICs and by the ramp of our Pyramid handler at a major microprocessor IDM. 
 Now, I'll recap key highlights from the second quarter in our test handler business. Orders for high-speed pick-and-place handlers rebounded after a light first quarter, increasing 180% sequentially. Two IDMs placed repeat orders for edge handlers and following a production evaluation, a major test subcontractor qualified the edge for testing parts for the fast-growing mobility market. We expect to receive a multiple unit order from this customer in the third quarter. 
 In my first quarter remarks, I commented that a large IDM was expected to place a follow-on multiple unit order for castle handlers this quarter -- in the second quarter. These orders were received and are for use in testing automotive ICs. To meet future requirements, we modified the system to enable testing at the higher than standard temperature of 175 degrees Celsius. 
 MATRiX handlers were ordered by a major IDM and also by a new customer, a test subcontractor, both for testing automotive devices. We expect follow-on multi-unit orders from both customers in the third quarter. 
 Currently, 3 evaluations of the MATRiX handler are underway, targeting mobility and automotive applications. We plan at least 5 more customer evaluations during the second half of the year as we continue to expand the customer base for this product. 
 Record Pyramid handler orders were received during the quarter.  In part, due to our customer pulling in some orders originally forecasted for Q3 and Q4. Our proprietary thermal control limits temperature excursions during test and optimizes device speed grading and ASPs, providing an optimal solution for microprocessors and high-performance graphics chips, including those processors used in servers that are enabling cloud computing. 
 While these high-power microprocessor applications have historically driven the need for precise temperature control during tests, requirements for low to midrange thermal control are increasing due to the explosive growth of processor intensive smart mobile applications. We are well-positioned with our thermal technology, including the T-Core thermal subsystem, which is being installed in development labs at major semiconductor manufacturers to characterize device performance. 
 Orders for T-Core thermal subsystems were received in the second quarter from 3 different customers, including one new customer. Additionally, we are completing integration of the T-Core subsystem on our edge handler, for use in testing low and mid-power processors in consumer mobility applications. 
 We plan 2 evaluations during the third quarter and future integration of this technology on our MATRiX handler to enable cold active thermal control capability for this growing segment of the market. Our proprietary thermal technology is being integrated across our handler product line, expanding the range of applications. And our thermal subsystems are being incorporated in systems level test equipment that will be utilized with many of the mobile device processors. 
 Orders for gravity handlers were the highest in a year and were distributed across our product line, mostly for automotive applications. We're clearly seeing stronger demand for gravity handlers after several quarters of reduced customer activity. 
 Orders from MEMS test solutions were received from 3 customers linked to our gravity and pick-and-place handlers, also for automotive related applications. We're developing a magnetic test unit that we expect will drive future sales of our strip handler, and we anticipate near-term demand for our acoustic MEMS units at test microphones used in mobile devices. 
 In early April, a customer successfully completed the beta evaluation of our new gravity handler, Saturn. In June, we shifted derivative version of this system named Jupiter for handling large IC packages for another customer. We're very excited about this platform, that's available in both standard and large package configurations, as it provides compelling productivity improvements, particularly in short test time-type parallel application, a fast-growing segment of the test market. 
 Now, Jeff will provide details on Cohu's financial results. 
Jeffrey Jones: Semiconductor-related revenues for Q2 were approximately 88% international and 12% domestic. International sales were distributed 74% Asia Pacific, 22% the Americas and 4% other. We recorded $1.3 million of stock-based compensation expense and approximately $1 million of purchased intangible amortization expense in Q2. 
 The comments I make today include the impact of these items. Gross margin was 29.7% in Q2 and in line with our projection. We expect gross margin in Q3 to improve approximately 100 basis points as a result of favorable product mix. 
 Operating expense in Q2 was $19.7 million, also in line with our projection. We expect operating expense in Q3 to be approximately $21 million, increasing due to a ramp-up development cost of our thermal subsystems, the integration of our proprietary thermal technologies across our handler product line, support costs for expanding customer evaluations of MATRiX and Jupiter, and sales commissions as a result of the Q3 sales mix. 
 Driven by expanding customer evaluations and opportunities for our thermal technology, we expect OpEx in Q4 to be about the same as Q3. The Q2 income tax provision was $100,000, and we expect a nominal provision for Q3. Q2 loss per share on a GAAP basis was $0.09. Non-GAAP loss per share, which excludes the after-tax impact of share-based compensation and amortization of intangibles, was $0.01 for the quarter. 
 Moving to the balance sheet. Cash and investments, $106.6 million at the end of June, increasing $2.3 million from March. Cash provided by operations in Q2 was approximately $5.2 million. Net accounts receivable were $42.2 million at June, increasing $5.9 million from March. DSO at June was 61, decreasing from 65 at March. 
 Inventory was $73 million at June, decreasing 92. -- $9.2 million from March as a result of increased shipments of our Pyramid and Castle handlers and improved inventory and supply-chain management. Additions to property plant and equipment for Q2 were approximately $300,000 and depreciation was approximately $1.4 million. 
 Deferred profit at June was $4.2 million compared to $2.3 million at March. The related deferred revenue at the end of Q2 was $6.9 million compared to $3.7 million at March and consist primarily of revenue deferrals on shipments of test handlers and mobile microwave communication equipment. 
James Donahue: Thanks, Jeff. And now commenting briefly on our other businesses. Sales increased sequentially at the Electronics Division. Key orders received during the quarter were for traffic management projects in the Middle East, Canada and the United States and for specialized long-range cameras utilized in a military armored vehicle application. 
 Traffic market sales have been lower than expected this year due to government funding constraints. The division has been diversifying its strategy and product line and plans to launch a number of new products in Q3, targeted at homeland and industrial security applications. TMS results were below plan due to order delays from several customers, in particular from a government program that was expected to lead to orders beginning in Q2, but deployment of equipment under this program has been delayed. 
 Activity remains high in the Middle East for government surveillance and security applications. We have a large installed base in the Middle East region and customers have started to upgrade their surveillance systems to high definition. We are also pursuing solid opportunities in the region in countries that plan to make their first investments in microwave security and surveillance systems. We expect strong sales to continue to equipment rental companies that are purchasing our systems and then renting them to contractors to provide broadcast services to television shows, in particular for reality TV. 
 And now, with respect to the current business environment. During the second quarter, industry-wide orders for backend equipment increased substantially, and this improvement is reflected in our semiconductor equipment orders as well, which increased 44% from the first quarter. 
 Across the industry, many believe that this growth was largely driven by the ramp -- by major smartphone and tablet suppliers and their associated IC suppliers. And that this is expected to slow in the second half. As I noted throughout my comments, we also saw strong orders for automotive applications. 
 After consecutive monthly increases since January, June backend equipment orders, as reported by SEMI, declined slightly and a number of semiconductor companies are guiding to flat or lower results for the third quarter. Recently, several industry analysts have issued downward revisions to their estimates of 2012 semiconductor growth. 
 Equipment utilization on customer test floors has remained relatively flat over the last several months. At the macro level, it's clear that business and consumer confidence continues to be adversely impacted by unfavorable economic and political factors, both in the United States and globally. So against this backdrop, it's not surprising that near-term forecast from our customers are mixed. The investments we've made in customer evaluations of our equipment over the past several quarters and that we continue to make, along with the extension of our thermal technology across our handler product line, place us in an excellent position for volume production orders as business conditions improve. For the third quarter, we expect sales to be approximately $60 million. 
 Finally, Cohu's Board of Directors approved a quarterly cash dividend of $0.06 per share payable October 26, 2012, to shareholders of record on August 31, 2012. That concludes our prepared remarks. And now we'll take questions. 
Operator: [Operator Instructions] Our first question comes from the line of Jairam Nathan with Sidoti & Company. 
Jairam Nathan: Given the strength in orders from the automotive, can you kind of explain [indiscernible] what is driving it, the growth there? Have you changed your product lineup to better suit that sector? 
James Donahue: Sure, Jairam. We've always had a very strong product line that's well suited for automotive application and automotive has always been a significant part of our business. But I think a couple of things are happening. I think automotive content is increasing, driven by continued expansion of features, fuel efficient features, driver assist and our product line generally provides full temperature capability, most automotive applications require testing at a cold temperature minus 55 degrees Celsius. And as I indicated in my remarks, hot temperature, which historically has been in 150-degree range, but now is moving up to 175. So with our expertise in temperature test, we're very well-positioned, have been for many years, with key suppliers of automotive ICs. 
Jairam Nathan: And have you mentioned what percentage of your revenues go to automotive? And -- or it seems like a pretty large portion of your orders are from automotive right now. 
James Donahue: No, we don't break that out. I would say that in the second quarter, it was unusually high for sure. 
Jairam Nathan: Okay. And my last question is, did you see any pushback -- pushouts on the auto front, or have any of the customers reduced CapEx quotes? 
Jeffrey Jones: Know we haven't seen any pushouts in orders Jairam and so far no indications of reduced CapEx impacting orders. 
James Donahue: Yes we've had -- as Jeff said, we've had no specific communications from customers in that regard. We're reading, like everyone is, the releases from certain semiconductor companies are making comments in that regard this weekend and as next week unfolds. 
Operator: [Operator Instructions] Mr. Donahue, we have no further questions in queue at this time. 
James Donahue: Okay. Thanks for joining us during today's call and we look forward to speaking to you when we report our third quarter results in October. Thank you and good day. 
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time.